Operator: Ladies and gentlemen, thank you for standing by. And welcome to the EverQuote's Third Quarter 2020 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I'd now like to hand the conference over to Brinlea Johnson of The Blueshirt Group. Thank you. Please go ahead, ma’am.
Brinlea Johnson: Thank you. Good afternoon, and welcome to EverQuote's third quarter 2020 earnings call. We'll be discussing the results announced in our press release issued today after the market closed. With me on the call this afternoon is Seth Birnbaum, EverQuote's Chief Executive Officer and Co-Founder; and John Wagner, Chief Financial Officer of EverQuote. During the call, we will make statements related to our business that may be considered forward-looking statements under Federal Securities Laws, including statements concerning our financial guidance for the fourth quarter and full year 2020, our growth strategy, and our plans to execute on our growth strategy, key initiatives, our investments in the business, the growth levers we expect to drive our business, our ability to maintain existing and acquire new customers, our recent acquisition, and interest or ability to acquire other companies, our goals for integrations and other statements regarding our plans and prospects. Forward-looking statements may be identified with words and phrases such as we expect, we believe, we intend, we anticipate, we plan, may, upcoming and similar words and phrases. These statements reflect our views only as of today and should not be considered our views as of any subsequent date. We specifically disclaim any obligation to update or revise these forward-looking statements except as required by law. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties that could cause the actual results to differ materially from our expectations. For a discussion of material risks and other important factors that could affect our actual results, please refer to those contained under the heading Risk Factors in our most recent quarter report on Form 10-Q, which is on file with the Securities and Exchange Commission and available on the Investor Relations section of our website at investor.everquote.com and on the SEC's website at sec.gov. Finally, during the course of today's call, we'll refer to certain non-GAAP financial measures, which we believe are helpful to investors. A reconciliation of GAAP to non-GAAP measures was included in the press release we issued after the close of market today, which is available on the Investor Relations section of our website at investors.everquote.com. With that I will turn the call over to Seth.
Seth Birnbaum: Thank you, Brinlea. Good afternoon, and thank you, everyone, for joining us today. Our strategy continues to yield excellent results. Our tech and data driven marketplace flywheel continues to drive network effects with more consumers and providers having deeper engagement across multiple insurance verticals. In Q3, we reported another strong quarter across all of our key financial metrics, delivering 34% year-on-year revenue growth and 41% year-on-year VMM growth. We also delivered positive adjusted EBITDA expansion year-over-year consistent with our model and successfully closed the acquisition across Crosspointe, accelerating and expanding our opportunity in the health insurance market. We continue to have strong momentum in the business, which is allowing us to raise our full year 2020 guidance which John will cover in more detail. So what is the big picture that we are seeing in the market right now? First, the American consumer is further embracing the convenience and safety of shopping online. For a wide range of products, including insurance, we believe that this trend will continue in insurance consumer demand as life resumes post-COVID. Second, insurance distribution dollars are migrating to digital channels as the industry begins to experience and increased level of digital fence, as seen in other areas of financial services. We believe that COVID is advancing with long-term trends within the insurance industry. And we continue to see high levels of demand in the carrier and agent for provider side of our insurance marketplace.  And finally, perhaps most interesting to us, the insurance industry is beginning to make products easier to buy and sell through digital channels, through integration and digitization of the actual insurance products. And this is occurring across numerous segments of the insurance industry. We're confident this is one of the key trends within insurance where EverQuote is very well positioned to capture the market opportunity. Turning back to Q3, our strong financial performance was achieved while also continuing to invest and execute across the four growth levers we outlined in the beginning of the year. Attracting more high intent consumers to our marketplace, growing and expanding across insurance verticals, deepening consumer provider engagement, and growing provider coverage and budget. First, attracting more high intent consumers to our marketplace. Our traffic teams executed well this quarter and focused on delivering enhanced monetization as reflected in our variable marketing margin, expanding to a record 33% of revenues. Revenue per quote request increasing 18% over Q3 2019 and a growth in consumer quote request volume of 14% year-over-year. Our initiatives this quarter place greater emphasis on driving improved performance in the marketplace to maximize the volume of high quality, high value referrals shared with our distribution partners. Examples of these initiatives are as follows. Introducing expanded targeting options for our enterprise carriers that we see as driving better monetization for our partners and our marketplace and contributing to higher margin operating points in dollars. Delivering significant workflow improvements, which lead to a greater than 10% increase in conversion rate for consumers on average across our insurance verticals? Successfully growing our higher monetizing and converting traffic, which resulted in enhanced efficiency in our marketplace, as reflected in our variable marketing margin as a percent of revenues, expanding to 33%. Next, growing and expanding across insurance verticals. In Q3, we had another strong quarter and our non-auto verticals, with revenues increasing 55% year-over-year with improving unit economics. These verticals continue to benefit from the network effects of our marketplace and from disciplined investments to support their growth. In our health vertical, we closed the Crosspointe acquisition in early September, which provided us with direct appointments with large carriers such as United Healthcare, Anthem, and Humana increasing our health care coverage by tenfold. Since announcing its acquisition in early August, our health vertical leadership team has been working to prepare for this year's open enrollment periods, which includes substantially expanding the Crosspointe agent team. In our life vertical revenue per quote request is over 3.5 times higher for customers served through our direct-to-consumer or DTC agency offering than we have experienced in our traditional life marketplace model, as the improved consumer experience leads to a greater conversion into a bound policy, as well as enhanced monetization. In our home vertical, we continue to build on our success with bundled offerings, which lead to growth in the variable marketing, margin, and margin percentage for auto and home insurance. Our third growth lever, deepening consumer provider engagement, these initiatives center on improving customer experiences for both consumers and providers, while increasing performance as measured by enhanced monetization and retention, reduced cost per consumer and higher LTV per customer. We are continuing our work to get the consumer one click or one call away from quotes with our focus on deep integrations with our carrier partners. We established the goal of completing deep integrations with 100% of our carriers by the end of this year to improve consumer experience and increase provider bond rates or policy purchase rates to drive up our marketplace efficiency. At the end of our third quarter, we are deeply integrated with 72% of our carrier partners, and we continue to make steady progress. We have also prioritized the integrations around larger partners, which has resulted in 92% of referrals by volume, being with deeply integrated carriers by the end of Q3. Additionally, we've been able to isolate performance on integrations with some of our larger carriers that many are seeing sizable lifts based on recent performance, as they can improve both the quote and bind rate. As example of the benefits of deep integrations two carriers improve their bind rate in our marketplace by 59% and 82% respectively. We are also deepening consumer provider engagement through our DTC agency experiences, where we are creating a more personalized and streamlined end-to-end consumer shopping journey with enhanced product selection and less friction from arrival to policy sale. Fourth growing provider coverage and budget. We continue to add more providers and expand our relationship with existing carriers and agents. We grew carriers on the platform by over 25% from a year ago as we expanded coverage in our non-auto verticals. Over 90% of Q3 revenue from carriers came from those who have been on our platform for more than a year driving efficiency for both carriers and EverQuote these are smart campaigns platform where we use machine learning to automate bidding for our carriers. Year-over-year, our agency business grew 64% in Q3, and represented 34% of revenues this quarter. Our investments to expand agent demand via content marketing, concentrated sales, top notch service and carrier partnerships to name just a few are paying off. We believe these same initiatives will benefit our direct-to-consumer agency distribution by attracting more agents and consumers to our marketplace. Finally, we're continuing to win the war for talent. During Q3 Gregory O'Brien joined us as SVP of Business Development from an education tech company he had led. Greg joins our ready strong leadership team, including talent from top tier technology companies such as Amazon, Wayfair, TripAdvisor, CarGurus, and many others who complement the entrepreneurial spirit of the early team that drove our success. Together, we are challenging ourselves to think bigger and be bolder. In summary, we delivered an excellent third quarter with strong execution across our verticals. As a company we're continuing to meet the challenges brought about by the unprecedented combination of a global health crisis and significant economic disruption while continuing to execute on our growth initiatives and commitments to our customers. Our marketplace flywheel is demonstrating progress in resilience with increasing diversity across our team, traffic, verticals, distribution, and customer experiences, including direct-to-consumer agency initiatives in life and health insurance. We continue to capitalize on the shift of insurance online, and I'm very excited about what the future holds. Our thoughts continue to be with all the individuals in businesses impacted around the world by the COVID-19 pandemic. I would like to thank our team, customers, partners and shareholders for believing in our vision. Now I'll turn the call over to John to provide more details on our financial results.
John Wagner: Thank you, Seth, and good afternoon everyone. I'll start by discussing our financial results for the third quarter of 2020 highlight our current financial performance and then provide guidance. We're pleased to report a strong third quarter of 2020 with results ahead of our guidance across all of our key financial metrics. Third quarter revenue was $90 million, up 34% year-over-year, driven by a balance of growth in consumer volume and monetization. Third quarter revenue in our auto insurance vertical increased to $74.8 million, a growth rate of 30% year-over-year, reflecting our continued success, capturing share as the insurance industry shifts online. Third quarter revenue from our other insurance verticals, which includes home and renters, life, health, and commercial insurance increased to $15.2 million, a growth rate of 55% year-over-year, reflecting our ability to grow these smaller verticals faster due to our relatively early stage in these huge market segments. These non-auto segments represent 17% of total revenue, providing important diversity in our revenue mix. In the third quarter, our revenue growth was driven by a balance of increased consumer quote requests, which were up 14% year-over-year to $6.3 million and increased revenue per quote request, which was up 18%, year-over-year to $14.30. We continue to focus on sourcing profitable high intent consumer traffic, which drives higher conversion for our insurance providers, which in turn delivers higher carrier bids for our consumer referrals in our marketplace. A significant increase in revenue per quote request was a result of multiple factors including recent enhancements to our targeting options that allow our carriers to more accurately bid to expected conversion, which results in higher referral pricing for high converting consumer referrals. Increased carrier data integrations, which improved policy sale rates for our carriers, which the carrier then may reflect in referral pricing as carriers often compute their bids based on expected cost per new policy sold. Strong demand from carriers in a specific desire to acquire new consumers online during the pandemic. Higher referral bids on the newly introduced insurance, bundling referrals, and higher monetization associated with our newest direct-to-consumer agency operations, which although still small in revenue contribution, produced higher revenue per referral, as compared to marketplace monetization alone. Overall, our improved monetization reinforces the marketplace flywheel by allowing us to bid more competitively on higher converting traffic, leading to a cycle of higher marketplace performance and further improvements in monetization. The benefits of these improvements is most evident in our key metric variable marketing margin, which we define as revenue plus advertising expense. In the third quarter, variable marketing margin or VMM, was $29.4 million, an increase 41% year-over-year. As a percentage of revenue VMM expanded 150 basis points year-over-year to a record 32.7%. We manage our marketplace to increase variable marketing margin dollar contribution. But this focus on performance also generally results in improvements to VMM as a percentage of revenue. This quarter, our monetization gains reflected as an improvement in revenue per quote request outpaced the relative increase in acquisition costs. This was true even as we sourced more expensive, higher intent, and higher converting insurance shopping consumers in a competitive insurance advertising market. Our growing VMM is the result of our data and technology advantage in consumer acquisition, and our scale and monetization leverage in distribution. We believe we are directly benefiting from network effects as we scale on marketplace. While factors such as volume of quote requests or revenue per quote request are largely a result of managing the business for VMM dollar contribution. We do believe that higher revenue per quote request and the resulting higher VMM as a percentage of revenue is sustainable. And you'll see we've reflected this in our guidance for the balance of the year. We expect traffic volumes to remain steady and revenue growth in Q4 to be fueled by increases in revenue per quote request reflecting the performance and value insurance providers recognized in our referrals. Turning to the bottom line, third quarter GAAP net loss was $3.2 million or a loss of $0.12 per share based on approximately $27.5 million weighted average shares outstanding. This compares to a GAAP net income of $173,000 in the prior year period. Our GAAP net loss was impacted by $7.2 million in stock-compensation expense in line with our previous guidance of $15 million to $16 million of stock-compensation for the second half of 2020. We delivered adjusted EBITDA of $5.2 million or 5.8% of revenue for the third quarter above the high end of our guidance range. Excluded from adjusted EBITDA this quarter was $480,000 in costs related to the acquisition of our DTC agency Crosspointe insurance advisors, and approximately $100,000 of related purchased intangibles amortization. We expect the amortization of the purchased intangibles to be approximately $600,000 in Q4. We generated $6 million in positive cash flow from operating activities in the quarter, ending the quarter with $46.1 million in cash and cash equivalents on the balance sheet. This includes using $14.9 million in cash from the balance sheet to fund the acquisition of Crosspointe insurance advisors. To note Q3 represents the second full quarter since the emergence of COVID-19. And we continue to closely monitor the impact of the pandemic. Though the current environment has become more than norm, we're cognizant that we are weathering an unusual combination of both a pandemic and a major election, both of which can impact advertising and consumer traffic in acquisition. While we are aware of the spike of COVID-19 cases presents risk, we are cautiously optimistic that the resilience demonstrated by our business model will continue. Now turning to our Q4 guidance, which reflects these operational trends as follows. We expect revenue to be between $90.4 million and $92.4 million a year-over-year increase of 24% at the midpoint. We expect variable marketing margin to be between $29.3 million and $30.3 million year-over-year increase a 37% at the midpoint. And we expect adjusted EBITDA to be between $4 million and $5 million year-over-year improvement of 7% at the midpoint. For the full year 2020, we're pleased to be again, increasing our guidance reflecting our strong Q3 performance, and our improved Q4 guidance as follow us. We expect revenue to be between $340 million and $342 million year-over-year increase of 37% at the midpoint and an increase from our prior guidance of $331 million to $336 million. We expect variable marketing margin to be between $106 million and $107 million a year-over-year increase a 45% at the midpoint and an increase from our prior guidance of $101 million to $104.5 million. And we expect adjusted EBITDA of between $17 million and $18 million a year-over-year increase of 111% at the midpoint and an increase from our prior guidance of $15 million to $17.5 million. In summary, we delivered strong third quarter financial results ahead of our prior guidance. We're experiencing continued momentum reflected in our improved outlook and expect to close a record year at EverQuote. Seth and I look forward to answering your questions.
Operator: [Operator Instructions] Please stand-by, while we compile the Q&A roster. Your first question in queue is from Ron Josey with JMP Securities.
Ron Josey: Thanks for taking the question. Appreciate it. Maybe two please. Bigger picture on RPQR, I think John you mentioned several factors that drove that 18% growth overall. As we think about 2021 and beyond, can you just talk about you know the sustainability here and in your opening remarks. Seth, I think you talked to here maybe John you talked about targeting enhancements, bundling benefits, and maybe just if you could double-click a little more on those targeting and bundling benefits, that'd be helpful. And then as you think about quote requests, you know, they were down sequentially in the quarter, anything you do to help us understand sort of the progress throughout the quarter. And John, I think you've guided sort of stable quote requests for 4Q this provides you talking that sequential slightly more insights on that. That'd be helpful. Thank you.
Seth Birnbaum: Maybe I'll lead off just -- hi, Ron, Seth. Thanks a lot for joining us. So in terms of targeting, we've had a focus now then we talked about it for several calls on targeting higher converting consumers in our traffic operations, the traffic teams have just done and the marketing teams have just done an exceptional job executing that. It has been compounded with some targeting options that we've added for our provider partners where, in addition to targeting economic ROI, they can also target conversion rate, which also drove up RPQR on higher converting traffic, thus allowing us to source to deliver more higher converting traffic to the marketplace. It also puts or hits or buffers or moderates, the lower converting traffic, which has the for us a lower margin profile. So overall, it doesn't just drive up, is there a conversion rate, it also drove up the compounding effect of both traffic operations and those increased targeting options drove up variable marketing margin operating point, and variable marketing dollars in a way that we believe is sustainable.
John Wagner: Certainly take bundling I will take --
Seth Birnbaum: And so you know, bundling that auto and home providing the option for consumers and providers to attach discounts related to bundling auto and home insurance, which simply put, basically provide a higher value consumer or higher value referral to our provider partners, which is just one of the elements which drove up RPQR in the quarter.
John Wagner: And then Ron I think the kind of answering question of those that Seth hit on was around next quarter and giving maybe a little bit of color on what we expect and where we think revenue growth will come from. Certainly the story for the second half of this year is certainly one that's colored by the comps from last year. You know that this time last year, we had 80% growth in traffic. So we certainly are up against some strong comps. Even with those strong comps, we're continuing to grow quote requests and grow traffic. We think that continues in Q4. So we still look for year-over-year growth in quote requests. But certainly with our success that we've had, with higher performing higher, higher [tenfold] consumer traffic, more of the growth will come from revenue per quote request. So I guess if you're looking for color there, we would say, you know, look for year-over-year increases in revenue in the number of quote requests, but a lot of the growth will be driven by the success we've had in revenue per quote requests based on our traffic.
Ron Josey: Got it. Thank you.
Operator: Your next question is from Jed Kelly with Oppenheimer.
Jed Kelly: Great, guys, thanks for taking my call. Can you hear me okay?
Seth Birnbaum: Sure, Jed.
Jed Kelly: All right. Yeah, so I guess, John or Seth, can you sort of talk about your traffic acquisition strategy? I know you had some temporary issues with some of the unrest? Can you talk about sort of how you're managing that? And then can you talk about any insight to how EverQuote competing relative to its competitors? I think one of your competitors recently reported, I guess they had strong growth than in auto insurance. So any update on just -- in your performance relative to the competition?
Seth Birnbaum: Sure. Again, we executed well in traffic both, you know, prior quarter and this quarter, I think you're referring to sort of the ins and outs around the pandemic and the election. Again, I think traffic execution and strategy hasn't changed outside of the continued progress we've made to drive higher converting traffic, which is resulting not only in an increasing RPQR, but increasing performance on variable marketing margin, and variable marketing margin dollars. We haven't seen any distinct competitive changes in the insurance advertising environment overall, it is a competitive environment. And again, I think we expected and saw some headwinds from the pandemic and the elections. It's a hotly contested election season, a lot of advertisers pouring in and we've modeled for that reflected it in our guidance, but nothing out of the ordinary and traffic teams have really executed well both last quarter and this quarter against our strategy of higher converting traffic.
Jed Kelly: Got it. And then just one more question, you know, we are seeing some more insurtechs go public, I think just went public. Any opportunity so for you to sort of work with some of these newer insurance models and the ability to streamline, more digitized, I guess, streamline the process.
Seth Birnbaum: Yeah, it's one of the more exciting sort of changes in the market from our perspective, Jed, so Ruth is a great partner of ours. And we've said before, in fact, a number of the insurtechs I believe you're referring to our partners or customers of ours. And we've said now for several quarters, they've not the year that these insurtechs basically represent a new class of budget for EverQuote and they seek to expand their specific books of business in their target populations. And so great new budget for us, one of the contributors to strong RPQR is some of these insurtechs coming online and spending more year-on-year, we expect that trend to continue. And we expect to be an excellent partner for them. The other exciting aspect of things some of these folks like Ruth and others are bringing to the marketplace is these improved digitized experiences that support not just online integration for quoting, but also online integration for binding and seamless offline experiences which we can integrate and do in our marketplace. And so that's really exciting from a customer perspective, as well. We expected to drive the business in both ways increased conversion rate and increased performance both for the consumer, as well as for EverQuote and our partners.
John Wagner: Jed, I'd probably just add that because of a lot of these insurtechs are very focused on specific areas, they have disruptive models, but often very specific to certain consumer sets, they tend to do very well on the EverQuote platform, because the primary value that we give to them is the ability to target very specifically on whatever their underwriting preferences or their strengths are, so that that ability to target on the platform is kind of unmatched when you go into even digital advertising. So we often see them get good traffic on the platform, because they have a very specific need.
Jed Kelly: Thank you.
Seth Birnbaum: I think it's worth mentioning just in general Jed, before you check out there for next question. The opportunity and the shift of the insurance business online is just massive. And I'll give you some examples is, if we look at all the revenue of the insurtechs inclusive of EverQuote into the marketplaces, it's probably roughly 2% of the distribution spend 1% of premiums is with the insurtech space. So it shifted online. So we think that the opportunity to grow is just abundant across the market space. And we're not competitively constrained for us. It's really an execution story. And our team is really executed well, both across the verticals and levers this past quarter.
Jed Kelly: Thank you. Great quarter.
Seth Birnbaum: Thanks.
Operator: Your next question is from Michael Graham with Canaccord.
Michael Graham: Hey, thanks, guys. A quick follow up on Ron's question earlier just on RPQR. If you have a bundled consumer does that count as one or two quote requests? And then two sort of more substantial questions. The first one that it seems like, you know, this year was a pretty good year for the auto insurance industry with not a lot of miles driven, not a lot of claims activity. Brings if you could lead back to whether or not you feel like that has loosened up some budget here and just are you getting any hints about people are thinking about next year? And then lastly, you mentioned you had great growth from agents? And I just wonder if you could, you know, unpack that a little bit in terms of like is that from new products or new, you know, a new orientation or is it just a natural evolution of that demand?
Seth Birnbaum: So, I'll take it, Michael, good to hear from you. Good evening. It’s Seth. So we would count these bundles referrals as one quote requests typically, to single quote requests and in terms of driving value at a significant incremental value, and we talked about it on the last call, both in terms of the overall premium for a bundled consumer, but also in terms of retention and risk profiles. As far as what we're seeing in the industry, we do see driving levels coming back up. But the you know, what we've seen so far is the P&C the auto and home insurers remain, you know, outside of some storm activities. Certainly in autos, they remain quite profitable, leaned in on growth. We'd expect that to continue certainly into next year. There's also a compounding effect, which we're excited by its early days, but you know, with the pandemic sort of ongoing and potentially even re-ramping. I think the public in general doesn't want to take public transportation, you know, there hasn't been really any kind of increase in flying. And it's led to at least early days, the increase in car ownership and people are driving more and so there is an opportunity for you know, increasing auto premiums at a time when you have kind of reduced losses. There are incremental profitability, which bodes really well for the distribution environment into next year for us from our perspective.
Michael Graham: Okay, that's great. And thanks for that, Seth. And any comments on the strong growth from agents?
Seth Birnbaum: Oh, sure. I mean, that's been a focus area for us for some time agents increasing and I would say it’s twofold. One is, it's certainly superb execution, I would call out our Head of Agency Nick Graham who him and the whole team have just done an outstanding job across the Board in terms of customer service, support building new product for agents of which we've spoken about, again Michael, things like agency call programs that really get the agents interacting and engage with the online consumer in seamless ways and it really help increase consumer choice. But also get that online consumer into the agent’s hands in a way that helps them grow their business. And I think the team has just done an outstanding job in executing and it's worth sort of shutting the mouth on this call. It is also compounded with the fact that agents increasingly are viewing the online channel generally and EverQuote specifically as a great place to grow their business.
Michael Graham: Awesome. Thank you, sir. Appreciate it.
Operator: Your next question is from Ralph Schackart with William Blair.
Ralph Schackart: Good evening. Seth in the prepared remarks, you talked about the insurance industry making products easier to both buy and sell to the channels? I think you highlighted numerous segments, just curious if you can kind of drill into that a little bit more, give us some color and what you're seeing there's something, happening go to COVID or part of a longer term trend. And then just maybe one more Crosspointe and it's early, but just curious how that's doing now versus your expectations. Thanks.
Seth Birnbaum: Sure. So in terms of when we talked about insurance products are being streamlined and digitized. And some of the great examples are folks like Ruth’s and Lemonade, who are wonderful partners. And then streamlining is in two ways, it's making the entire insurance experience, sort of readily accessible online everything from shopping through quoting and binding as well as claims. And so that makes them sort of very good partners for integrating into our direct-to-consumer marketplace. And I'll give you a very specific example, what we've seen in life insurance has probably been the sort of furthest forward, if you will, the most leaned in, there are a growing number of life insurance products that are so a streamlined issue don't require a medical visit. And folks can just sort of fly them and complete their purchase online and offline, but without seeing, you know, a medical rep or going through a doctor's visit. And so these kinds of streamlined underwriting, integrating, quoting and binding, obviously, enable us to do two things full integration to give the consumers a very low friction experience when shopping, and it increases the overall product diversity available through our online consumers. So there it's very exciting. The life one is probably the most explicit example. And a lot of times they call these simplified issue products. With regards to Crosspointe I certainly let lag John chime in a bit, but it's going to plan, we've completed the integration. And we're really happy with the progress that both the Crosspointe team has made. They're really integrating with their existing vertical healthcare initiatives to grow the business.
John Wagner: Sure. So Ralph, I just add that obviously, in this quarter Crosspointe contribution was limited to one month of the quarter. So obviously not significant in this quarter, but very pleased with how fast that team has integrated into our health vertical and looking forward to their contribution in Q4 during the open enrollment period.
Ralph Schackart: Okay. Thanks, Seth. Thanks John.
Seth Birnbaum: Thanks Ralph.
Operator: Your next question is from Mayank Tandon with Needham.
Mayank Tandon: Thank you. Good evening, Seth and John. I wanted to start with healthcare John, just sorry Seth maybe for you and then I'll come back to John, just some insight into the who the typical consumer is shopping for healthcare on your platform, who the providers are and just the value proposition, how it works for both the consumer and your healthcare providers.
Seth Birnbaum: Sure. So as you know, an increasing swath of consumers in the U.S. are shopping for health care, and that’s everything from U65, which is typically short-term or under 65 year old consumer to the over 65 with medicare advantage and medicare supplemental. If you think about it Mayank and this is part of why we're excited about the health care vertical in general, is somebody who's turning 65 or 55, which is the typical age when shopping, is looking is very comfortable online, right. So these are folks who grew up with the internet or 15, 20 years of internet ecommerce and so they're increasingly comfortable shopping for healthcare products online. What's particularly exciting to us about the Crosspointe acquisition and integration is it literally increased our carrier coverage across the consumer segments. So we sort of have product for literally or more nominally nearly all types of consumers there will be and are shopping for healthcare online. It increased our carrier representation and healthcare our carrier panel product by Tenex. So really exciting to have a very broad offering for the online healthcare shopping consumer given [fee pay].
Mayank Tandon: Got it. That's helpful, Seth. And then John, just moving back to the code request volume, just kind of get a handle on the sequential dropping, I get the fact that the year-on-year concern really hard given the outperformance last year, but could you maybe just walk through the trend line through the quarter? And then sort of pivoting off that into ‘21 given that comps do sort of level off to the effect of maybe a more balanced growth between quote request and revenue per quote looking out into ‘21?
John Wagner: Sure, it’s John. So when I take the back half of that first 2021, I would say yes, that that, you know, first of all, it would be reasonable to expect that we would take this momentum around revenue per quote request into 2021. And certainly that would probably lend itself to a balanced growth between quote requests and revenue per quote request next year. Obviously, we plan on guiding to 2021 next year, but we're excited about as Seth mentioned the strength that we're seeing within the industry backdrop. And that next year, looks to be prime for a good year for us. I think if you look at the traffic in terms of what we're seeing in Q3 and Q4. And first, I'd always start with the idea that we're going to manage the business for variable marketing dollars. And I think that's very much what you saw this quarter. We had tremendous success, being able to capture higher intent -- higher performing traffic. And that led to the higher revenue per quota request, it really drove that. And that is very much a kind of virtuous cycle that allowed us to be more competitive on higher performing traffic and leads to higher revenue per quote request and then in turn leads to higher margin percentage and more importantly higher variable marketing dollars. So Q3, we see as really strong performance, we expect as we go into Q4, that strength in revenue per quote requests will continue. And that has been, a focus on higher converting, higher performing targets. Clearly part of the story is the comps that we're up against for last year, when you'll remember, we were growing the business on a traffic basis 80% year-over-year. So just maintaining that is a sign of strength, but we believe that we're going to continue to grow that year-over-year as well. So we're going to manage that business for variable marketing dollars. But I think next quarter, you'll see a continued blend of growth from traffic volumes as well as revenue per quote requests. But certainly, given the success we've had on higher converting traffic, you should expect to see more of it -- more of our growth coming from revenue per quote request.
Mayank Tandon: Okay, understood. Thanks so much.
Seth Birnbaum: And Mayank this was some -- just an incremental color, right. You also saw a variable marketing margin dollars grew at 41% year-on-year, I mean the variable marketing margin percentage, it's a leverage increase in the business to just shy of 33%, which is a high for us. We're obviously optimistic that that continues, that's reflected in the guidance that John gave, but just as importantly, right headed into next year, ideally, we see some progress with clearing the pandemic. And the election year will -- for better or for worse be over. And so I think some of those, the headwinds will subside, which gives us sort of a great platform headed into 2021 on both the traffic and the revenue per quote request side.
Mayank Tandon: That makes sense. Thanks, Seth. Thanks, John. Good job.
John Wagner: Thanks, Mayank.
Operator: Your final question in queue is from Douglas Anmuth and JP Morgan.
Douglas Anmuth: Thanks for taking question. I have two. First is on the deep integrations. Seth you have mentioned 72% at this point, just want to check if you're still on track towards 100% by year-end? And then just how are you thinking about the buying rate improvements from here. Is there still room to go higher? Do you think you've achieved kind of full benefits at this point? And then just second, also curious on your login user experience, where you are in terms of launching that and if there's any kind of early thoughts or takeaways on traffic or engagement there? Thanks.
Seth Birnbaum: Sure. Hi, Doug, thanks for joining us. What’s super critical -- so we are making good progress on the integrations. I mean, one of the things, and I'm most impressed and excited by it, as we added more than 20 new carriers to the platform this quarter, I think that was an unexpected upside, surprise, which certainly puts some pressure on our goal of all carriers integrated. But the great, or the even better news is that 92% of our consumer referrals, now have a deep integration so that, we prioritize the larger integrations first we will continue to do so. And we feel really good about that goal. And we'll keep pushing on it, even as new carriers flow off to the platform. The other sort of upside for us is that these deep integrations and I find I quoted just two of our larger partners seeing significant bind rate increases, you can still go, all the way and we see a growing swath of our referrals that are fully integrated to a quote, we will add to that integrations that allow consumers to bind right online from our workflow to our providers. So we'd expect continued progress in going to click the quote, find the quote, and that we will see a continued increase in bind rate with the current deeply connected or deeply integrated providers as well as getting to that 100% mark.
Douglas Anmuth: Any thoughts on the login experience?
Seth Birnbaum: Sure. So I apologies. So on the login user experience, you know, that's in our sprint cycles now, making good progress on that no data report, but we will update you on the next call as planned.
Douglas Anmuth: Okay, thank you.
Operator: There any further questions in queue at this time. Management, I'll turn the call back over to you for closing remark.
Seth Birnbaum: Sure. Thank you, everybody so much for joining us today. We delivered a strong quarter with solid execution across both our verticals and all of our growth levers. We really are well positioned and confident that we'll close out a record year here at EverQuote both in terms of growth, but also variable marketing margin, which is sort of our Northstar business metric. We will continue to capitalize on the shift of insurance online, build up our great team, and I'm genuinely optimistic and excited about our future market opportunity as this massive insurance industry shifts online. Thanks so much.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.